Operator: Welcome to Cushman & Wakefield’s Third Quarter 2018 Earnings Conference Call. [Operator Instructions] It is now my pleasure to introduce Bill Knightly, EVP of Investor Relations and Treasurer for Cushman & Wakefield. Mr. Knightly, you may begin your conference.
Bill Knightly: Thanks and welcome again to Cushman & Wakefield’s third quarter 2018 earnings conference call. Earlier today, we issued a press release announcing our financial results. This can be found on our Investor Relations website along with today’s presentation pages that you can use to follow along. The materials can be found at ir.cushmanwakefield.com. Please turn to the page labeled forward-looking statements. Today’s presentation contains forward-looking statements based on our current forecast and estimates of future events. These statements should be considered as estimates only and actual results may differ materially. During today’s call, we may refer to non-GAAP financial measures as outlined by SEC guidelines. Reconciliations of GAAP to non-GAAP are found within the financial tables of our earnings release and appendix of today’s presentation. For those of you following along with our presentation, we will begin on Page 5. And with that, I’d like to turn the call over to Executive Chairman and CEO, Brett White.
Brett White: Thank you, Bill and thanks everyone for joining us today. In recent months, we have discussed with you a number of initiatives we are pursuing as we continue to expand on our position as one of the leading vertically integrated global commercial real estate services firm. These include a focus on revenue and share growth through the delivery of differentiated and best-in-class services to our clients, strategic recruiting and infill M&A to continue to expand on our strong mobile platform, continue to leveraging our strength in our large and growing recurring revenue businesses, and a focus on growing margin through our prudent cost discipline. I am pleased to report that we are executing at a very high level against each of these priorities and more. In the quarter, we experienced double-digit fee revenue growth of 18% and adjusted EBITDA growth of 77%. These results came from a balanced strong performance across our geographic segments and service lines with particularly notable 34% growth in capital markets and 32% growth in leasing globally. On a year-to-date basis, fee revenue grew 13% and adjusted EBITDA grew 61%. In the quarter and year-to-date, we also made significant progress on our goal to expand margin. Our third quarter adjusted EBITDA margin was 11.9%, which is an increase of 400 basis points year-over-year. Year-to-date, our adjusted EBITDA margin is 10.1% representing an increase of 300 basis points over the same period in 2017. While we are very pleased with our current performance, we are equally as focused on future growth to both infill M&A and strategic recurring across key service lines and markets. In the third quarter, we were very active on both fronts and I will share just a few examples with you. We acquired the commercial property arm of Sherry FitzGerald Group in Ireland and a prominent evaluations business in Australia. We also made continued investments in growing our recurring revenue businesses of property, facilities and project management with acquisitions in a leading design and build practice in the Netherlands and a highly specialized facility services business in the U.S. that focuses on clean rooms and controlled environments. These examples illustrate our opportunity to grow our business by filling whitespace in our service platform allowing us to serve new client while offering more services to existing clients. In the third quarter, we also saw continued evidence of our ability to win new business due to our leading position and scale and ability to service clients with large, complex needs around the world. Our corporate outsourcing business, which we call Global Occupier Services, has seen an increase in its win rate this year as more corporates continue to outsource real estate services and continue to choose Cushman & Wakefield. Some representative client wins include large outsourcings for Avnet in Asia-Pacific and expansion of FM services for long-term client Humana and continued outsourcing expansion with one of the largest tech firms in the U.S. Similar examples of outsourcing wins in our facility services business include a 12 million square foot portfolio for Cadillac Fairview and a renewal of our contract for Boston Logan International Airport. As I mentioned previously, our capital markets and leasing businesses are growing significantly this year. Marquee assignments in the third quarter included representation of the buyer of two large Japanese logistic facilities, which is one of Japan’s largest industrial deals in 2018, representation of Microsoft and its Canadian headquarters lease in Downtown Toronto, and representation of Teva Pharmaceutical in a 345,000 square foot lease in Parsippany, New Jersey. Now, turning to Page 6, you will see an outlook on the global real estate market, which continues to be very supportive of our industry and our business. Real estate fundamentals also continue to be very strong, notwithstanding stock market volatility, trade tensions and rising interest rates. Investment volumes are expected to be higher than 2017 with still historically low interest rates and leasing fundamentals remain robust globally. So to summarize, along with this continued supportive external environment, we are very pleased with how our business is performing. October continued the strong momentum we have experienced throughout 2018. Based on this and our view on the macroeconomic environment, we will be raising guidance for full year 2018, which Duncan will address in a moment in his comments. We are making good progress on our financial, operational and strategic growth objectives. Clients, top talent and organizations interested in joining our platform are drawn to our brand, our momentum and our culture. It continues to be a very exciting time to be at Cushman & Wakefield. With that, I’d like to turn the call over to Duncan, who will discuss our financial results and outlook in more detail. Duncan?
Duncan Palmer: Thanks, Brett, and good afternoon, everyone. Before I renew the financial data for the third quarter of 2018, I’d like to remind you that the company uses fee revenue, adjusted EBITDA, adjusted earnings per share and local currency to improve comparability of current results and to assist our investors in analyzing the underlying performance of our business. You’ll find definitions of these non-GAAP financial measures and other more detailed financial information in the tables of today’s news release and the Form 10-Q. With that, let’s start on Page 8, which summarizes our key financial data for the third quarter and year-to-date. Our performance year-to-date has been excellent. In the third quarter, we reported even higher year-over-year growth than we saw in the first half of the year in both fee revenue and adjusted EBITDA. We are on track to deliver a year of very strong adjusted EBITDA growth and I’ll discuss our full year guidance later in my remarks. Today, we reported third quarter 2018 fee revenue of $1.5 billion, an 18% increase over the same period in 2017. Year-to-date fee revenue was $4.2 billion, a 13% increase compared with the year-to-date 2017. Adjusted EBITDA for the third quarter was $179 million, a 77% increase over the same period in 2017. Adjusted EBITDA margin grew 400 basis points in the quarter to 11.9%. Year-to-date, adjusted EBITDA was $424 million, 61% higher than 2017. Our adjusted EBITDA margin year-to-date of 10.1% represents a 300 basis point increase from 2017. Margin expansion for the quarter and year-to-date were driven by strong performance in our capital markets and leasing service lines and our continued focus on operating efficiency. Third quarter adjusted earnings per share was $0.45. As a reminder, in the third quarter, we successfully refinanced our debt facility. We issued $2.7 billion of first lien debt with a 7-year maturity and completed the new revolving credit facility for $810 million with a 5-year maturity. We also paid off our second lien. We expanded our receivable securitization facility to $125 million from $100 million and we have fixed our interest rate exposure for the near term. We ended the third quarter with over $1.7 billion in available liquidity and our balance sheet is strong. Year-to-date adjusted EPS was $1.02. As I mentioned on our last earnings call, our adjusted effective tax rate to 22% for both the third quarter and year-to-date is an 800-point reduction versus last year’s rate of 30% driven primarily by the U.S. Tax Act. Moving on to Page 9, where we show our fee revenue growth in local currency by segment. The Americas grew 20% for the quarter and 14% year-to-date, EMEA grew 21% for the quarter and 12% year-to-date and APAC grew 11% for the quarter and 8% year-to-date. We’ll discuss the drivers of growth for each segment shortly. On Page 10, we show our growth rates on a local currency basis for our 4 service lines. Our property, facilities and project management service line, which we call PMFM, has represented almost half of our fee revenue over the past 12 months. PMFM grew 8% for the quarter and 5% year-to-date. Within PMFM, our facility services operations represent a little over half of the fee revenue. In facilities services, we typically self-perform a variety of services for our clients and we have major operations in both the Americas and APAC. As we mentioned before, facility services is a great business for us with very sticky revenue, but typically this business has an annual growth rate in the low single-digits. For the quarter, facility services, is up 1% and on a year-to-date basis, facility services is down 2%. Excluding a change in revenue accounting treatment related to a contract in APAC, facility services is up 3% for the quarter and is flat year-to-date. The rest of the PMFM service line, which includes our occupier outsourcing and property management operations, has grown in the mid-teens so far in 2018. Our leasing and capital markets service lines have shown significant growth this year, led by the Americas and APAC. Valuation and other has grown in both APAC and EMEA in 2018, but this has been more than offset by a decline in revenue in the Americas in this service line. With that, we will start a more detailed review of our segments starting with the Americas on Page 11. America’s fee revenue grew 20% for the third quarter and 14% year-to-date. Our strong growth was driven by leasing, which is up 34% for the third quarter and 25% year-to-date and by capital markets, which is up 42% for the third quarter and 34% year-to-date. Performance was strong across our Americas markets. Within our Americas PMFM service line, our facility services operations represent a little over half of our fee revenue and facility services revenue has been up 1% so far in 2018. The rest of the PMFM service line has grown double-digits on a year-to-date basis. Year-over-year decline in valuation and other was mainly driven by a contract that ended in mid-2017 in the valuation business. Americas adjusted EBITDA was up 69% for the third quarter and 56% year-to-date primarily driven by a strong top line performance as well as by operating efficiency. Adjusted EBITDA margin in the Americas through the first three quarters was 10.9%. This represents an improvement of about 300 basis points versus the same period in 2017. Margin accretion has been driven by the strong performance in our capital markets and leasing service lines as well as continued focus on operating efficiency. Moving on to EMEA results on Page 12, fee revenue increased 21% for the third quarter and 12% year-to-date. This represents a strong performance in the quarter across our service lines. Our PMFM service line in EMEA represents less of our overall segment fee revenue than in the other 2 regions, which has grown strongly in the first half of the year, up 33% for the third quarter and 27% year-to-date. Leasing grew 25% in the third quarter, bringing the year-to-date growth to 7%. Capital markets, has grown 10% growth in the third quarter and 3% year-to-date. Valuation and other has grown 11% in the third quarter and 7% year-to-date. Overall, our EMEA business had a strong third quarter with adjusted EBITDA of 126%, resulting in the business being up 76% for the year. Margin has increased 240 basis points year-to-date, a result of strong top line growth and a continued focus on operating efficiency. Now for our Asia-Pacific segment on Page 13 where fee revenue grew 11% for the third quarter and 8% year-to-date, leasing, capital markets and valuation and other all grew strongly for the third quarter and year-to-date. PMFM represents about two-thirds of the fee revenue for the segment. And as I mentioned on our last call, the facility services business in APAC declined in the first half owing to a change in the revenue accounting treatment of a contract in Australia. The impact of the accounting change to fee revenue has been $23 million year-to-date and is expected to be about $30 million for the full year with no impact on adjusted EBITDA. Excluding this discrete item, PMFM grew 5% for the year-to-date with the facility services operations in APAC being about flat and the rest of the PMFM service line growing in the high teens. The strong revenue performance across the region has driven a 69% increase in adjusted EBITDA for the third quarter and 77% year-to-date. Margin year-to-date has increased by over 300 basis points. Now I’d lik e to cover our full year guidance. Turning to Page 14, in summary, we are very pleased with the performance of our businesses this year and we continue to be very excited about the progress we are making. The business environment for our markets continues to support healthy growth. Our momentum continues to be strong and we expect to finish the year showing significant growth year-over-year in both fee revenue and adjusted EBITDA. Fourth quarter historically, the strongest quarter of the year and we would expect that this will be the case again this year. We expect 2018 adjusted EBITDA to be between $630 million and $650 million, reflecting the strong market fundamentals. We will provide 2019 full year guidance on our fourth quarter earnings call. Right now based on our continuation of growth in our markets, we expect to grow both fee revenue and adjusted EBITDA across our segments in 2019. And with that, I’ll turn the call back to the operator with the Q&A portion of today’s call.
Operator: [Operator Instructions] And your first question comes from the line of Anthony Paolone from JPMorgan. Your line is open.
Anthony Paolone: Yes, thank you. Good evening and very nice quarter. My first question is just on the full year guidance, if we look at what you have done year-to-date and back into possibly what that’s saying about adjusted EBITDA for 4Q, it suggests it’s down 19% year-over-year, can you talk about why that might be and whether the third quarter’s rank was pulled forward a bit?
Brett White: Duncan?
Duncan Palmer: Yes, it’s Duncan. So yes, obviously, we have seen strong momentum this year in the first three quarters. We also if you recall in the fourth quarter of last year saw a very, very strong performance and for example we saw I think our leasing business grow 30% in the fourth quarter last year whereas I think it was rather weak in the third quarter. So, I think that sort of shape of last year and the shape of this year are a bit different. So I think in terms of sort of as we look out towards the fourth quarter this year and the full year, we expect it to be a very strong year-over-year EBITDA growth overall is that you are seeing very good momentum in our business. It continues to be very strong, we are looking as we look back at last year’s fourth quarter it was a very, very strong fourth quarter and that’s kind of reflected in our guidance.
Anthony Paolone: Okay. But I mean, at this point, I mean, it’s kind of the middle of November, are you playing it conservatively at this point or from what you could see booked in your system it’s just simply going to be a down year-over-year quarter in the fourth quarter?
Duncan Palmer: Yes. I mean, as you would appreciate, an awful lot of our revenue and EBITDA actually shows up in the last 2 months of the year. So we don’t have like a sort of complete knowledge of that right now. An awful lot of it shows up in the last quarter as you know. We did see good momentum as I talked about actually in October. So I don’t think it’s – we are losing momentum by any means and certainly the business momentum in the overall business environment is very strong.
Anthony Paolone: Okay. And then in the third quarter if we just look at the year-over-year incremental margin – EBITDA margin, it was about 30%, 32% somewhere in that ballpark? I mean any sense as to how much of that was from cost initiatives versus just simply a lot of strength in higher margin leasing and capital markets piece of the business?
Duncan Palmer: Yes, it’s a great question. I mean, I think as you know, we are very, very focused on operating efficiency and continue to be so this year and there has been some benefit from some of the projects we have been executing there. But I would say probably on a year-to-date basis of the overall margin expansion we have seen which was several 100 basis points, I think it was like 300 year-to-date. I think approximately the majority of that came from strong growth in the higher calorie service lines, particularly capital markets and leasing. Across our divisions, right, so it’s the broad nature of that strength that has given rise to that margin expansion.
Anthony Paolone: Okay. And then just last question maybe for Brett, you have been around for a while and you guys had particularly strong leasing results in the last couple of quarters. But your peers have also had some pretty good leasing results. Just curious from a more cyclical and fundamental point of view any thoughts on the cycle? And beyond the wins that you all have had kind of what do you see driving sort of the strength and the ability to sustain it on the leasing side?
Brett White: Right. So on the leasing side, I would say first and foremost, what we look to and I am sure you do as well is what independent third-parties are prognosticating, forecasting about rents going forward. And I will just use U.S. office as a proxy for the market. And when you look at the respective third-parties that are out there, all the brand names that you and I track, all of them are forecasting U.S. office rents to be up in 2019 and 2020. That to me is a very important data point, because it speaks to so many of the sub-drivers behind the strength of this current expansion. I think that for all of us, we fight the data with instinct, but I have to tell you that it’s very, very difficult right now to find data points really anywhere throughout our business or that we can read about the folks tracking that would imply anything other than a healthy commercial real estate market in 2019.
Anthony Paolone: Okay, thanks and again great job.
Brett White: Thank you.
Operator: Your next question comes from the line of Vikram Malhotra from Morgan Stanley. Your line is open.
Vikram Malhotra: Thanks for taking the questions and congrats again on a strong top line across the board. Just maybe on that topic, you have made some key hires in a couple of different regions, West Coast, parts of Australia, obviously New York, you have had good traction. Can you just give us some more color and anecdotes on kind of how you are sort of winning businesses post these key hires? And in the same vein, where else do you really fund the leasing and capital markets side, where else do you still need to beef up?
Brett White: It’s a very good question. So I would say that at this point it would be a fair observation to say that the platform as it pertains to transaction professionals is built. As we look across the business, there are no markets where we have what I would consider to be a large gap from where we would like to be in terms of headcount of professionals or productivity of professionals and that being said, some of the markets we talked about in the past are markets that we are focused on. So for instance, we are rapidly and fairly aggressively scaling up our transaction professionals business in Asia-Pacific, through Australia, New Zealand to some extent in Singapore, to some extent in Japan. Those are areas where we certainly have room to grow. In the U.S., I have mentioned before we would like to see our market position in Los Angeles be better than it is today. It’s a very good business in Los Angeles, but could be bigger and better. Dallas is another market where we are quite focused right now. But I would say that with the hires we have made the last 2.5 years, particularly on the capital markets side, we have an A team across the board. Now the people that we brought on in New York and Atlanta and Dallas and the West Coast, the past 2 years are the best-of-breed. They are working, integrating exceptionally well with our existing folks in the business and a lot of the upside we see in our numbers right now is not the direct production of those people we hired, but rather the transfer of business and client work from those people to other people already existing in the business. That’s exactly why we focused on this sort of producer.
Vikram Malhotra: That makes sense. Just two other quick ones from me. Maybe just on the integration expenses, could you just give us a sense – obviously there have been renewing at a high level in ‘18? And I am not sure – I know you are not going to give us a guidance right number, but just from a trajectory standpoint, can you give us sort of a broad sense of where the integration expenses would trend going into next year?
Duncan Palmer: Yes. I mean, on the last call, if you recall, we have provided I think a projection of all those line items going out, I think to ‘19. And so I think that we sort of provided some detail in the last call. I refer you back to that. I think in the quarter, I mean the biggest expenses we were sort of adding back, they were not really from an integration point of view as much more sort of like two to three buckets I probably will bring attention to, one it’s cost associated with the IPO which kind of goes through that line, but not really integration from that point of view. There was a material amount of cost added back as a one-time item related to the IPO. There continues to be add-backs as I have discussed before for amortization of broker-related compensation that was linked to the original mergers of the deals as we also talked about before. And then there were some other somewhat smaller items that related to sort of residual projects, but those are probably the two biggest buckets in the third quarter. And again, integration is essentially over. And from next year, if you go back and take a look, the biggest items going into next year will continue to be the sort of tail of that broker amortization, but beyond that, there will be no real integration cost getting added back next year.
Vikram Malhotra: So just – and just to clarify that’s all the smaller kind of infill M&A that shouldn’t have any material change from what you projected last quarter?
Duncan Palmer: Not materially, no.
Vikram Malhotra: Okay. And then just last one, were you guys surprised any sort of opportunities you can call out from Amazon’s decision across three cities?
Brett White: Were you surprised? I think it’s been fun watching the search process unfold. I thought it was – I thought they played it really well. So, Nashville is going to get a service center. You got DC area picking up a big HQ2. You got New York picking up some great work there. So for us, was it surprising, sure, no one knew where they were going to end up. I think Evan had a hunch it would be one, if not two of those cities. What does it mean to our business? Look, anytime we see a large occupier like Amazon continue to expand, continue to put large centers of people into urban areas like this it’s just very good news for the industry. In particular, I would say the site that they chose in the DC area is particularly interesting, because it is a collection of buildings that I think we are not receiving the kind of attention that other projects in the area were. So, it takes out of the market a large amount of inventory that might have had a little bit more difficult time being leased up. So, that’s a net positive for the market and for everybody. But it was great to see and it’s just all good news.
Vikram Malhotra: Great. Thank you.
Operator: Your next question comes from the line of Alex Kramm from UBS. Your line is open.
Alex Kramm: Yes. Hey, good evening everyone. Just coming back to I guess Brett’s comment about how the environment continues to be pretty solid and you are obviously mentioned it for 2019 you continue to expect decent growth across the business, maybe just to turn this around given that the stock market is obviously not agreeing with you. I mean, where are you seeing more uncertainty in your business when you look I guess globally or by business line? I mean, anything that – were you starting to see any sort of cracks that you point out or are you pretty positive across the board?
Brett White: No, it’s – I learned a long time ago not to pay a lot of attention to the stock market. I don’t know what the stock market is telling us and everyone else other than it’s volatile. But the things that we pay a lot of attention to are a collection of data metrics, the kind of metrics that we know that’s forecast the health or not of our industry and our business. And we look across those metrics, it’s already covered. The metrics we watch, the kind of metrics we watch on rental rate, which of course is underpinned by construction product coming to market and absorption. I look at the capital markets, which is an important business for us and for our primary competitors. Sales volumes through the first half of 2018 were up 13% over 2017. Cap rates are steady. Though cap rates certainly aren’t telling us anything to be worried about, yields and the delta and yields are all very, very positive right now. So we are seeing when you look at financing markets and you look at the price that the people are paying for buildings, even though interest rates have moved up, it hasn’t seemed to had any impact really on cap rates or on velocity of transactions in the marketplace. I think one of the reasons for that by the way is essentially to note that debt funds have the total amount of capital in debt funds and dry powder in debt funds has doubled over the last 2.5 years. Now $40 billion of raised capital in the debt funds space and that debt funds space is another alternative for buyers to turn to, to finance all or part of their purchase transaction. So, the things we watch, we watch GDP. As you know, the IMF is predicting strong GDP growth for the next 2 years globally and in most major markets. We watch vacancy rates. We watch rental rate projections. Those are all quite positive right now. We watch new construction. There are very, very few markets right now that one could point to for the primary food groups that we operate in that are overbuilt in fact, it would be hard to pick one at the moment and we watch just the pricing of product, and price remains rational and continuing to incrementally improve so areas we’d be worried about right now, I to be honest with you, I suppose the places we’re watching a bit more carefully might be the UK and UK, with still an uncertain outcome on Brexit, is certainly a question mark but think of this, even with the uncertainty that’s been around Brexit now for what, going on 2 years, with an outcome that is not yet completely known and UK Leasing, so take UK Leasing market, is up 10% year-to-date for and much, much more strongly that for the quarter UK Capital Markets, have 13% in the quarter, 5% year-to-date so even in the UK, where you have a macro uncertainty, you see healthy transaction volumes so all that to say as we look around the major markets that we operate in, it’s difficult at the moment to find a market that has anything obvious going on that’s particularly worrisome.
Alex Kramm: All right thanks for that color and then, secondly, pretty quickly, I think you mentioned yourself in your prepared remarks that in EMEA, you continue to be pretty unrepresentative in PFPM although that business has been growing nicely any updated thoughts in terms of scaling that business up inorganically? Is that a big focus? Or I guess that’s my question.
Brett White: Yes, so we’ve talked about and Duncan has talked quite a bit about our priorities around capital allocation and we’re very thoughtful around that as it pertains to infill M&A or even larger M&A for that matter, there’s no doubt that we have a bias towards recurring revenue businesses, and we’ve made it I hope clear and you just referenced it that in EMEA, both in the recurring revenue businesses, but in general, we feel we are underrated given the strength of this platform and the size of our businesses in other geographies so we are always interested in high quality businesses that meet those metrics in our screening metrics for capital allocation, and certainly EMEA and recurring revenue businesses in EMEA are high on the list now that being said, EMEA is a tough place to do M&A it is a place that you must be careful because of the labor laws and the cost of integration and we’re very careful in EMEA but if and when we find high-quality opportunities there, we’ll move on them you know from our call in Q2 and the road show that we’ve made a series of recurring revenue acquisitions in EMEA in the last 1.5 years those have all gone exceptionally well for us and we’re on the lookout for more like that.
Alex Kramm: Great. And then just one quick one to finish here given that it’s a few months since the IPO now and clearly last-minute you got that Vanke investment just wondering if now that you’ve hopefully spent more time with these guys, if there’s anything that’s come out of this already? In particular, wondering, I think they recently launched kind of like a subsidy around property management services so to what degree is this something where you can partner with them or they actually competing with you to some degree? So, any color there would be helpful.
Brett White: Yes, in China, there’s not a Vanke does not have a competitive property management business per se we have been talking to them a lot about lots of opportunities for us to work together with them we have a team there actually at the moment working with them on a variety of interesting areas to work together in and outside China I suspect that in the coming months and years, we will have an evermore deep and powerful relationship with Vanke, who’s a very important client to us in China I have nothing there to announce and there’s nothing, I don’t think, that is imminent to be announced but we’re absolutely working with them real-time full-time to explore opportunities for these 2 firms to work together.
Alex Kramm: Very good. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Steven Sheldon from William Blair. Your line is open.
Steven Sheldon: Hi. First one is some color on maybe the expected impact of operating efficiencies heading into 2019 you said the viewers margin expansion has been heavily driven by the mix shift more towards higher margin transactional activity and less of benefit from operating efficiencies so just qualitatively, how are you thinking about potential operating efficiencies heading into 2019? And maybe some color on whether we should expect them to have a bigger or smaller impact to them in 2018?
Brett White: Yes, this is Brett. Let me take kind of a macro stab at this as far as I’m capable, and then hand it to the expert, which is Duncan but first and foremost, I would just say this I think and we’ve talked about this in the past. I think generally speaking, this industry is pretty inefficient when it comes to managing businesses and focusing on operating efficiencies and we see that as very low hanging fruit and something that we’re good at and something that we intend to be very focused on year in, year out in this business we have a variety of project teams who spend all of their time looking at ways to use technology, looking at ways to do other things to make this business more efficient and to increase margin it’s something that is a relentless focus for us let me turn to Duncan to talk a little bit about next year and how he thinks about that opportunity.
Duncan Palmer: Yes, thanks, Brett. So as you know, and I think we’ve talked about this quite a lot during the IPO process we had a lot of work during the integration in terms of driving operating efficiencies I think we drove the order of 80 or 90 basis points per year on average sort of over those 2014 to 2017 period 2018, we’ve continued to sort of look for operating efficiency obviously, we got a big margin expansion this year it’s been a factor not only of the mix, but also we have driven some operating efficiency, which has been important to us and we will continue to look for opportunities to drive operating efficiency every year we do think this is partly due to the scale of our business and partly due to the opportunities we have as we bring on in-fill M&A there is opportunities for us to drive operating efficiencies across our platform we do operate at a lower rate and margin rates than some of our peers, which in fact for us is an opportunity through scale to sort of pick up margin every year, and we’ll continue to drive that in our operating plans across our service line, across our geographies, in our operating plans for next year and it will be part of when we provide guidance for next year, it will be part of what we look to, to provide the guidance for next year.
Brett White: I think just to add a comment to Duncan’s comments one thing we’re very proud of both in ‘17 and in particular in ‘18 is the entire industry is seeing great lift in transaction revenues but the lift we’re seeing in margin is unlike any firm in this industry right now so the operating efficiency component of that lift is very real and while there’s no doubt that the growth that we’ve seen in Capital Markets are very, very supportive of this margin expansion, it would be a mistake not to also conclude that operating efficiency is driving a material piece of those well.
Steven Sheldon: Got it. That’s very helpful. Can you maybe provide the expected impact of ASC 606 in the fourth quarter to adjusted EBITDA? I think you had originally targeted roughly a $15 million benefit this year, so through 3Q we’re a little ahead of that at roughly $19.5 million so, will ASC 606 be a drag then in the fourth quarter or is the benefit this year just trending a little higher than you’d originally expected?
Duncan Palmer: I suspected I wouldn’t say it was going to be in any way a drag because it’s for us because we haven’t recast historical financials to benefit toward for us in every period so it will continue to be a benefit for us in the fourth quarter as well it probably is running, I think, a little bit higher than we had originally thought it would be it’s definitely I think it’s on Page 20 that I would refer you to that in terms of the appendix to our earnings in terms of what it has been year-to-date it’s been about $24 million, $25 million of fee revenue in the third quarter and about $50 million year-to-date it’s been about $9 million of EBITDA in the third quarter and about $20 million year-to-date and because of the relatively heavy amount of Leasing in the fourth quarter versus the other quarter, I would expect it to maybe run a little higher than those rates in the fourth quarter simply because the fourth quarter is the largest quarter in Leasing and that’s where a lot of that benefit comes from in terms of change versus last year but I would expect to see a benefit in the fourth quarter and probably bigger than the run rate level than the average of the last 3 quarters.
Steven Sheldon: Got it. Thank you.
Operator: And your next question comes from the line of Mitch Germain from JMP Securities. Your line is open.
Mitchell Germain: Good evening Brett, I’m curious about your thoughts around the M&A market I mean, obviously, you guys continue to find new smaller infill deals and obviously, there was a bit of pause in the market a couple of years ago as pricing and expectations seemed to ratchet a bit higher it seems that I guess our diligence has suggested pricing has gotten a bit more reasonable here I’d love to get some thoughts around what you’re seeing?
Brett White: So, the M&A market, we do benefit, I think, a bit unusually from our peer group in the sense that I think we’re seen as a good home for businesses that are looking to roll up into a strong global platform that is for the reasons we discussed before, which is there are instances where we can on board a business in 2 hours and they can come in and fill an area of white space that we had available so we tend to get, if not first look, we’re definitely in the first group of looks that those firms pursue when they think about trading and I would say without exaggeration, probably more often than not, we are first look e have opportunities that continue to come to us where we are able to work with them exclusively before and make a decision whether we’re going to pursue them or not before they go to the market we like that a lot we have opportunities that come through auction, but we tend again to be a firm that folks give, if all things were equal, that folks tend to want to be with for the reasons that I just mentioned as pertains to pricing, it really depends on the geography and the business line there are certain business lines where things look pretty rich to us there are other business lines that for us are very, very reasonably priced and we have lots of synergy with a lot of the companies, expense synergies in a lot of companies we look at our pro-synergy multiples are many, many times usually mid-single-digit so in the market today, we finally tend to have a bit less competition, sort of a higher quality transactions because frankly, we can fit them in a bit better than others can we see plenty of well-priced, reasonably priced, fairly priced businesses who I think have concluded for all the reasons we’ve talked about for 20 years that competing as a single market or a single business line firm is just too hard and being part of a powerful global platform like Cushman & Wakefield is a great place for those people and their clients to live in the future and there’s nothing to market right now on the M&A side that would indicate to me the price is going up. I think to your point, if anything, we’re seeing a bit more reasonable multiples on a lot of the projects we’re working on.
Mitchell Germain: If I my understanding in terms of the facility’s management business is a lot of customers now are looking rather than just having 1 provider, multiple providers maybe it’s by geography or other certain criteria is that providing your firm an avenue of expansion organic growth? Or is it, is there any other phenomenon that you think is really positioning you guys to continue to grow that business line?
Brett White: Yes, well, you have it right so it is it would be unusual it would be anomalistic for a major corporate to have a single provider for their corporate real estate outsourcing projects the biggest corporations, many of them tend to divide up the business by geography or by service line or by both because of the platform that we have created here at Cushman & Wakefield, strength of the business, the geographic footprint, the broad capabilities and services, we’re now one of those 3 firms that is almost always bid and I would say that in most cases, 2 or 3 of those firms are going to pick up some component of the business certainly those are outsourcing contracts that go single provider but if I look at our largest contracts in many, many of them, we’re sharing the work with others so think of it this way I think that because Cushman & Wakefield now almost 3 years ago emerged on the scene with a platform, a service array, a quality of service delivery that simply just didn’t exist in the market 4 and 5 years ago, there is a redistribution of existing share, and we are benefiting from that.
Mitchell Germain: So, if I can ask one more if we potentially see a slowdown in some of the major metros, New York or whatever, how do you think Cushman is positioned in some of the secondary markets?
Brett White: Good question Cushman & Wakefield is a so we have hundreds of let me answer it this way we have hundreds of offices around the world, and I would say that we have a strong presence in all of the major cities, let’s count that as the top 50 major markets around the world but we have a strong presence in probably the next 150 cities beyond that so our business, for better or for worse, is a diversified business we believe it’s important to be able to capture share and quality business in Cincinnati and Cleveland just as it is in New York and Chicago and frankly, many times the secondary markets are higher margin markets than are some of our major markets and as you well know, some of the largest of the Fortune 500 companies in the U.S. are located in secondary markets so these are important businesses and markets for us we are well allocated through our footprint to, I think, a good number of the secondary markets around the world that are important you look at our presence in Eastern Europe we have got a dozen offices in Eastern Europe in cities that produce very good business, have terrific clients we do business with around world and produce a very good margin work for us.
Mitchell Germain: Thank you.
Operator: And your next question comes from the line of David Ridley-Lane from Bank of America. Your line is open.
David Ridley-Lane: Sure, good evening so, within the facilities management, the self-perform business, is there any follow-on benefit from the faster growth you have in the other side of the house, the property management? Do you often get assignments when in the self-perform work when you win the broader mandate? Or this kind of low single-digit growth feel like a continuing trend?
Brett White: There is no doubt that this opportunity you just described may be one of the lowest hanging fruit we have in this company we have not done near enough, a good enough job in having those businesses work together to feed each other and that is something we are very focused on right now we ought to see in the long run down the road, we ought to see half of the organic growth in our self-perform business come from the property management business or the large corporate outsourcing business that we have and a material piece of those businesses, corporate outsourcing, property management ought to come from the self-performance business it’s not something that these businesses in the past focused on it is something we are very focused on and we expect to see really good results out of the very, very intense efforts we have in the area underway right now.
Operator: And there are no further questions at this time. I will turn the call back over to Brett White for some closing remarks.
Brett White: Terrific. Well, thanks, everyone, for your time tonight. It’s one of those quarters we want to sit and enjoy for a couple of moments before we start working on or finishing the fourth quarter. But I appreciate everyone calling in. Look forward to talking to you in the next couple of months. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.